Operator: Good afternoon ladies and gentlemen and welcome to the Clearside Biomedical Second Quarter 2020 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host speaker Jenny Kobin, Investor Relations for Clearside. Please go ahead madam.
Jenny Kobin: Good afternoon everyone and thank you for joining us on the call today. Before we begin, I would like to remind you that during today's call, we will be making certain forward-looking statements. Various remarks that we make during this call about the company's future expectations, plans, and prospects constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2019, our quarterly report on Form 10-Q for the quarter ended June 30, 2020, and our other SEC filings available on our website. In addition, any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements in the future, we specifically disclaim any obligation to do so even if our views change. On today's call, we have George Lasezkay, our Chief Executive Officer. Dr. Thomas Ciulla, our Chief Medical Officer and Chief Development Officer. And Charlie Deignan, our Chief Financial Officer. After our formal remarks we will open the call for your questions. I would now like to turn the call over to George.
George Lasezkay: Thank you, Jenny. Good afternoon to everyone and thank you for joining us on the call today. Over the past year we've worked hard to execute our strategy to reorient Clearside from a single product company to one that has multiple innovative and relevant opportunities targeting unmet medical needs through the suprachoroidal space. As a result we are initiating a new clinical program targeting a large and growing market through suprachoroidal injection of a tyrosine kinase inhibitor. We are also advancing our suprachorical gene therapy and small molecule pre-clinical programs. These actions represent important progress creating value through the expansion of our internal pipeline which we'd like to highlight this afternoon. Also we have selected a new very experienced and highly motivated manufacturing partner to help us obtain her first commercial product approval. I will begin with our new clinical program and lead development asset CLS-AX which is our proprietary suspension of extensive suprachoroidal injection. We are pleased to announce that our investigational new drug application was accepted by the FDA.  With this open IND we are now able to progress CLS-AX into human clinical trials. We are targeting the initiation of our phase I/IIa clinical trial by the end of this year in patients with neovascular age-related macular degeneration. Typically referred to as Wet AMD. As many of you know Wet AMD is a serious type of macular degeneration leading to central vision loss that occurs when a protein called vascular endothelial growth factor or VEGF causes abnormal blood vessels to grow and leak in the back of the eye. In looking at the treatment landscape for Wet AMD there are four key factors that are considered by physicians and their patients; safety, efficacy, duration of action and patient convenience. Most common treatment options currently used by physicians to slow vision loss from Wet AMD are anti-VEGF intravitreal injections given every four to eight weeks, which helps stop the bleeding and leaking of blood vessels in the back of the eye. These treatments have shown good efficacy and safety but have limited duration thus requiring frequent injections. In clinical practice, however most patients have difficulty complying with the need for such frequently scheduled appointments. Therefore, compliance is a real world issue in patients suffering with Wet AMD. CLA-AX could fit very well in the Wet AMD treatment landscape. We believe that a small molecule tyrosine kinase inhibitor or TKI could provide safety and efficacy [approvable to] or better than current standard of care. By delivering TKI into the suprachoroidal space using our in-office SCS micro injector, we may also potentially extend duration of therapeutic action and enhance patient compliance. Our phase I/IIa clinical trial will begin by the end of this year to assess the safety of suprachoroidal administration of CLS-AX. We look forward to reporting initial safety data from the first cohort in mid-2021. Building on the momentum of our CLS-AX program and the growing data and interest in suprachoroidal space, we are expanding our internal pipeline with promising pre-clinical programs. First is our therapeutic bio platforming program which is based on suprachoroidal administration of non-viral vector gene therapy for retinal diseases. This is the second gene therapy preclinical program in our suprachoroidal pipeline. This biofactory program is designed to cause the expression and secretion of an anti-VEGF therapeutic protein from retinal cells. This approach potentially provides versatility to deliver not only anti-VEGF transgenes but also a variety of different trans genes leading to the expression of other clinically relevant therapeutic proteins in the back of the eye. We are encouraged by our early research and pre-clinical data on these programs. Second, we have initiated another small molecule program utilizing suprachoroidal administration of an integrin inhibitor suspension that will initially be focused on diabetic macular edema. While it's still early days for these programs we are excited about expanding our pre-clinical pipeline to leverage the benefits of suprachoroidal delivery. We will continue to advance these new programs through additional pre-clinical studies and hopefully on towards clinical trials. Tom will provide some additional detail on the scientific rationale for these programs in his remarks. Next I have an update on our plans for XIPERE, our potential treatment option for patients suffering from macular edema associated with uveitis. We announced today that we have secured a new commercial manufacturing partner for XIPERE. Our previous contract manufacturing organization recently notified us they are no longer willing to serve as our commercial supplier and they are uncertain about being fully prepared for an FDA pre-approval inspection on our timeline. As a result we were left with no workable options to continue with the previous CMO. After working closely with the CMO for many years this news was unexpected and disappointing both to us and our XIPERE commercial partners. However, given previous disclosed delays due to manufacturing and facility issues we had been proactively evaluating alternative manufacturers. Therefore upon receiving this news we were able to quickly identify and engage in their CMO and have already initiated the process of transferring this XIPERE manufacturing technology. During this transfer period, however, our previous CMO has agreed to manufacture initial clinical supplies of XIPERE for our Greater China partner Arctic Vision to support its IND filing in China and for use in clinical trials in China planned to start early next year. Our new CMO has an established track record with respect to FDA inspections and they have extensive experience with the production of small molecules suspensions, steroids and ophthalmic products. We believe this transition is a positive step forward to achieving XIPERE approval as the new CMO provides us with a very experienced, high quality and motivated partner for manufacturing XIPERE. With significant and relevant operating expertise and an experienced staff we believe they will prove to be a collaborative and dependable partner to manufacture XIPERE. While the transfer of the manufacturing process will cause a short-term delay we are convinced it will allow for a more efficient and predictable process for NDA resubmission and review. We look forward to resubmitting the XIPERE NDA as quickly as possible after the technical transfer to the new CMO is completed and the required stability data are generated. Although we are still in the process of finalizing the timelines with the new CMO, our current expectation is that resubmission will occur no later than the first half of 2021. We expect the FDA will review the NDA within six months of the resubmission date. We believe the strategy and timing of this transition is the most reasonable and prudent option for Clearside to successfully move forward with XIPERE. We believe this change is in the best long-term interests of Clearside as well as our commercial partners XIPERE Bausch Health Companies and Arctic Vision. We have discussed the transition with both companies and they understand the circumstances and the rationale for making this change in CMOs. I will wrap up my initial remarks today with a note on corporate governance. During the second quarter we enhanced our board of directors with the addition of Dr. Nancy Hutson. With over 25 years of R&D leadership advisor, Nancy brings a deep understanding of the pharmaceutical industry coupled with an in-depth knowledge of research, clinical drug development and dynamic business situations. She has also served on a number of biopharmaceutical company boards over the past 10 years. So she has a broad perspective on the industry. Nancy is already highly engaged in our strategic planning and we are pleased to have her input as we advance our internal pipeline. With that I will now turn the call over to Dr. Tom Ciulla, our Chief Medical Officer and Chief Development Officer to expand more on CLS-AX and our other research programs. Tom?
Thomas Ciulla: Thank you, George. I'm eager to start by diving a bit deeper into our CLS-AX clinical trial plans and then I will summarize our other pipeline programs. As George mentioned we were pleased to announce today that our IND was accepted by the FDA. With this open IND we are now able to progress CLS-AX into human studies and initiate our phase I/IIa clinical trial in patients with Wet AMD by the end of the year. We are excited to advance this asset for its intrinsic characteristics that can be further leveraged through suprachoroidal delivery. First as a Tyrosine kinase inhibitor or TKI axitinib is designed to achieve pan-VEGF inhibition and independent pre-clinical studies showed that axitinib have more potently inhibited neovascularization than either focused anti-VEGF inhibition or other TKIs. Second, suprachoroidal administered CLS-AX demonstrated targeted hydride concentration in the retina and choroid with lower concentration in the vitreous leading to effective reduction of fluorescein leakage and new vessel growth versus controls in models of Wet AMD. Third, in animal models CLS-AX demonstrated some compartmentalization benefits when administered suprachoroidal sparing the anterior chamber of the eye and the systemic circulation. It was well tolerated with no signs of toxicity at the intended clinical dose. And finally CLS-AX administered suprachoroidal showed multi-month durability in animal models. This supports the potential to address treatment burden in Wet AMD, a large and current unmet need. We look forward to starting our first human clinical trials with CLS-AX. We are planning our phase I/IIa clinical trial in Wet AMD patients to be an open label dose escalation study to assess the safety and tolerability of a single dose of CLS-AX administered through suprachoroidal injection. Eligible patients are those who demonstrate stable visual acuity following two or more previous injections with an individual anti-VEGF agent. For this trial we plan to use a flipper set as our anti-VEGF agent. The primary endpoints for the trial will be to assess the safety and tolerability of CLS-AX in these Wet AMD patients. Secondary endpoints will evaluate the pharmacokinetics, visual function, ocular anatomy and the need for additional treatment with intravitreal flipper set. The study design is targeted to include three cohorts of five patients each for a total study population of approximately 15 patients. Eligible patients will receive a two milligram individual injection of a photoseptic screening followed by one suprachoroidal injection of the CLS-AX at baseline a month later. Patients returned for three further visits for assessments on safety, tolerability, visual function, ocular anatomy and the potential need for additional treatment with a flipper set. All patients will be followed through the fifth visit regardless of whether additional therapy is given. For CLS-AX the study design calls for dose escalation in each of the three cohorts. Cohort one will start at the lowest dose of 0.03 milligrams of axitinib delivered by suprachoroidal injection. Dose escalation will then proceed following review and recommendation of the safety data by the safety monitoring committee to advance the next higher dose cohort. With the timeline for each cohort at approximately six months. We expect initial safety data from the first cohort in mid-2021. We are excited about the potential for CLS-AX as a long-acting therapy for Wet AMD and this phase I/IIa trial is our first step to reach that goal. Internally our research and discovery teams continue to advance our pre-clinical programs. We have a DNA nanoparticle biofactory gene program in pre-clinical development for internal pipeline. There is well-established literature supporting sub-retinal DNA nanoparticle gene therapy and pre-clinical models of retinal disease. DNA nanoparticles can transfer genes that are too large for common viral vectors like AAV. In addition, since they lack viral capsid antigens DNA nanoparticles are less immunogenic than viral vectors. It could potentially undergo repeat office based dosing via a suprachoroidal approach. In a recently published paper researchers at Johns Hopkins demonstrated that suprachoroidal injection of non-viral nanoparticles can yield expression of a reporter gene and RAT photoreceptors and RTE throughout the eye for at least eight months. They have also showed successful expression of an anti-VEGF protein with suprachoroidal administration of non-viral nanoparticles containing the corresponding gene. With this therapeutic biofactory approach they were able to suppress VEGF induced vascular leakage and experimental neovascularization in their pre-clinical model. We have previously shown that suprachoroidal administration of DNA nanoparticles yields similar marker gene activity compared to subretinal administration. Over the last year we've been working with DNA nanoparticles containing therapeutic transgenes in a pre-clinical model. We have observed that suprachoroidal administration is better tolerated clinically than intravitral administration in this animal model. We have also imaged the suprachoroidal space opening posteriorly all the way to the optic nerve after suprachoroidal administration of DNA nanoparticles supporting the potential to address both macular and peripheral retinal disorders. And most importantly we have seen preliminary signs of protein expression for the duration of the studies for three months and are in the process of more thoroughly quantitating these results. Suprachoroidal administration of DNA nanoparticle gene therapy has potential as an office based repeatable gene therapy without the risk of the vitrectomy surgery and subretinal administration. Furthermore, as demonstrated by the Johns Hopkins teams, there is potential to swap out the transgene to address different targets and disorders. We are excited about the potential of this platform using our SCS micro injector for both a biofactory and native gene replacement approach. Next I want to discuss another pre-clinical program targeting a potential important pathway in retinal disease. We have recently added an integrant inhibitor to our early pre-clinical development program. Integrins represent a novel target with limited competition. Integrins of multi-functional cell adhesion molecules that regulate critical cell processes such as adhesion, migration, proliferation, invasion, survival and aptosis. Most importantly they play a role in pathologic processes such as inflammation, angiogenesis and fibrosis. Integrins inhibition has had some recent validation in pre-clinical models and in early clinical studies of diabetic maculoedema and macular degeneration. Given their unique mechanism of action Integrins inhibition could potentially serve as primary therapy, adjunctive therapy to anti-VEGF agents and/ or secondary therapy in refractory cases of diabetic macular edema and macular degeneration. Suprachoroidal delivery of an integrins inhibitor suspension may provide targeted, compartmentalization and durability advantages over inter-vitro or topical delivery just as we have seen with small molecule suspensions of triamcinolone acetonide clinically and exceptional pre-clinically. Given the potential to address the pathologic processes in diabetic macular edema and macular generation we're planning a series of additional pre-clinical studies with our integrin inhibitor suspension. Next I would like to touch briefly on the plans from our development partners. We are very pleased with the progress of our oncology partner Aura Biosciences. Aura has a worldwide licensing agreement for the use of our SCS micro-injector to deliver its proprietary drug candidates into the suprachoroidal space for the potential treatment of certain ocular cancers. At [Aura] in June Aura presented pre-clinical research regarding the ocular distribution and efficacy of their asset AU-011 delivered via our SCS Microinjector. According to Aura the data show distribution of AU-011 in the suprachoroidal space and very impressive necrosis of tumors following laser activation in a rabbit model of a chordal melanoma. Preclinical studies have been completed and Aura expects to initiate a phase 2 clinical trial evaluating suprachoroidal delivery of AU-011 during the third quarter of 2020. Our AAV gene partner REGENXBIO is utilizing our proprietary SCS Microinjector to deliver RGX-314 to two different patient populations with the hope of offering non-surgical in-office access to their one-time gene therapy treatment. They announced last week that their phase 2 two trial is active and is entitled AAV the trial will evaluate suprachoroidal delivery of RGX-314 in patients with Wet AMD. AAV will enroll 40 patients with severe Wet AMD who are responsive to anti-VEGF treatment. They plan to begin dosing patients this quarter and expect to report interim data from their first cohort of this trial by the end of 2020. In addition to Wet AMD REGENXBIO also expects to initiate a phase 2 trial for RGX-314 using suprachoroidal delivery and diabetic retinopathy in the second half of 2020. Importantly and despite the current pandemic environment we continue to stay top of mind with the ophthalmic and retina communities with over 20 posters and publications presented at the virtual annual meetings for the association for research and vision and ophthalmology and the American Society of Retina Specialists. At these events several retina specialists presented data on axitinib our suprachoroidal delivery platform, our early gene therapy programs and XIPERE. We continue to receive positive feedback from clinicians and how our suprachoroidal treatment approach could target unmet needs for their patients. To leverage this input we recently formed a scientific advisory board comprised of five world-renowned retina physicians to tap into their expertise as we advance our pipeline development plans. I will now turn the call over to our CFO, Charlie Deignan to review our financial results.
Charles Deignan: Thanks Tom. Our financial results for the second quarter were published this afternoon in our earnings press release and are available on our website. Therefore I will summarize our current financial status. As we reported our cash and cash equivalents at the end of June, 2020 totaled $15.1 million. During the second quarter of 2020, we elected to pay off our outstanding bank loan due to various restrictions and other limiting covenants in the agreement. The total amount paid was $5.3 million and included the remaining principal balance accrued interest and final payment fee. As a result we had we now have a very clean balance sheet. We are continually assessing options to preserve cash and are monitoring anticipated revenue from near-term partner milestones. We are evaluating the most advantageous ways to fund our programs, get to our approval milestones and meet our future financial needs. We will monitor market conditions and be opportunistic about increasing our capital resources in multiple ways while always remaining cognizant of maintaining shareholder value with the goal of raising money at the lowest cap cost of capital. We are controlling expenses tightly and continue to prioritize gaining approval of XIPERE while also expanding our internal pipeline. The planned investments in our near-term clinical and pre-clinical work are incorporated into our operating plans and we currently expect to have sufficient resources to fund planned operations into the second quarter of 2021. We look forward to presenting at the Wedbush Pacgrow Virtual Healthcare Conference tomorrow and I will now turn the call back over to George for his closing remarks.
George Lasezkay: Thank you, Charlie. To sum up, we believe strongly in the versatility of our suprachoroidal injection platform and its use in small molecules in gene therapy. We have an array of valuable assets our proprietary SCS Microinjector, lead clinical development program CLS-AX, multiple pre-clinical programs as well as our lead commercial product XIPERE, all of which are well protected with related intellectual property. We lead the industry with our experience in targeting the suprachoroidal space and maintaining strong relationships with researchers and clinicians in the ophthalmic community. We continue to transition from one product company to an ophthalmology company with exciting clinical collaborations and an innovative and expanding internal pipeline. Importantly, there will be three novel assets delivered via our SCS Microinjector in four clinical trials by the end of this year. We are positioning ourselves to have a strong year in 2021 with potential FDA approval of XIPERE and the initial data from our phase I/IIa CLS-AX clinical trial and Wet AMD as well as progress on our other pre-clinical programs. Our team is very energized and optimistic about our growing pipeline with the potential to improve patient outcomes through our innovative suprachoroidal technology. I would now like to ask the operator to open the call for questions.
Operator: [Operator Instructions] First question is from the line of Liana Moussatos of Wedbush. Your line is open.
Unidentified Analyst: This is [Shweta] for Liana. Thank you for taking my question and congrats on all the progress. What are some of the steps remaining for resubmission of XIPERE NDA and how long will it take for the new CMO to manufacture egistration batches and COVID-19 had any impact on the new CMO's daily operations? Thank you.
George Lasezkay: Okay. Thanks Liana. I will take that question. First of all to the best of our knowledge and our discussions with the new CMO COVID has not had any significant impact on their operations. So that does not seem to be a significant factor. Secondly, what needs to be done is we need to manufacture registration batches and put them on three-month real-time stability in order to resubmit our NDA and we're working with the CMO now, the new CMO on a very aggressive timeline to make that happen. As I said we're still working out those details of exactly when the registration batches will be made but they've given us a very aggressive timeline and there's incentives in place to go even faster. We're moving as fast as we possibly can and they possibly can to get the registration batches made. I think as we indicated already the technology transfer is already underway. We've purchased the necessary equipment, wasn't too much but we purchased that equipment. It's already on site and the teams are already working to put it in place and start to make batches.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Annabel Samimy of Stifel. Your line is open.
Unidentified Analyst: Hey everyone This is [indiscernible] on for Annabel. Congrats on all the new developments. We have two questions if you may. The first is on axitinib. Are you actively exploring partnership opportunities or has there been any interest externally and secondly regarding OpEx, how should we or what are your expectations for R&D expenses through 2020 and 2021 now that there are multiple programs underway? Thanks.
George Lasezkay: Okay. Let me take the first part of that question and then Charlie you can answer the second part of that question. Currently at this point in time we have not explored partnership relationships around axitinib. We intend to push axitinib forward into clinical trials by ourselves at this point in time. So we have not had those discussions. We've not sought those discussions at this time. Charlie you want to answer the second part of that question?
Charles Deignan: Sure. Yes. As I said on the call we have just over $15 million in cash. Currently we will be receiving potentially some milestones from our partners. So I would look at R&D, spending, the trials not, they're phase Ia, IIa studies not significant big studies 30-35 patients. So I wouldn't expect a dramatic increase in R&D, slight increases and we will also see some of the manufacturing costs are starting to decline next year. So I wouldn't see a big jump. We can manage the progress is what we have getting into Q2 of next year.
Unidentified Analyst: Awesome. Thank you and congrats again.
Charles Deignan: Thank you.
George Lasezkay: Thank you.
Operator: Next question is from the line of Boris Peaker of Cowen. Your line is open.
Boris Peaker: Great. My question is on the CLS-AX. You mentioned that initial data is expected in the middle of next year. I'm just curious how many patients should we expect to see and also is it reasonable based on this patient number to see some initial efficacy as well?
George Lasezkay: Tom, I think that's your question to handle.
Thomas Ciulla: Sure. Well, thank you for the question Boris. As you know it's a phase I/IIa study, the primary endpoints are really geared around safety. This is the first time in man that axitinib has been injected suprachoroidally and so again the primary endpoint will be safety. Obviously we're going to start at the lowest dose but we will be looking at a safety signal some of the usual signals that you might face efficacy on, for example the need for retreatment, visual acuity and central subfield thickness are some of the parameters that we'll be assessing.
Boris Peaker: Got you and in terms of the actual number of patients?
Thomas Ciulla: There will be five patients per cohort and there will be three cohorts is what we're planning.
Boris Peaker: Got you. Great. Thank you very much for taking my question.
Thomas Ciulla: Thank you for the question. 
Operator: Next question comes from the line of Jonathan Wolleben of JMP Securities. Your line is open. 
Jonathan Wolleben: Hi, good afternoon. Thanks for taking the questions. Just another follow-up on CLS-AX. What are you expecting, going in this study as far as the durability of response with a single injection and then also I guess onset of responses is something that you're going to be able to see in this interim readout it's not from the first cohort maybe the second?
Thomas Ciulla: So a couple of things about axitinib. First of all, as a Tyrosine kinetics inhibitor it has pan-VEGF inhibition and there is been numerous independent pre-clinical studies assessing it in animal models of retinal, corneal and coronal neovascularization and it shows very robust inhibition of neovascularization. It shows an addition of leakage and actually one study where not only does it cause inhibition but it actually causes regression of this established corneal vascularization. There are studies suggesting that it's more potent inhibitor of neovascularization other TKIs and other studies suggesting that it's a more potent inhibitor of neovascularization than a focused anti-VEGF approach. So intrinsically it has some very desirable qualities and we're going to leverage that further with suprachoroidal delivery where we know we can get very high levels targeted to the affected tissues to the retina and chloride. We know we can compartmentalize the drug there and keep it away from the anterior segment to minimize any off-target effects that we've seen with other TKIs that have previously been assessed. And we know in our own animal models that we have multi-month durability. So we're hoping that this will be a very durable, very efficacious therapy and I think the second part of your question is what can we expect out of this first cohort or even the second cohort and as I just mentioned it's really geared towards safety. This is a first time in man axitinib been injected suprachoroidally but I think we'll have some signals as to its potential efficacy. I don't know if that'll be with the lowest dose or what with the next dose but we're eagerly looking forward to starting this trial because we think this is truly a differentiated or has potential to be a differentiated therapy in terms of its pan-VEGF inhibition, its durability and potential safety of benefits due to the fact that it's compartmentalized and targeted to the affected tissues.
Jonathan Wolleben: Got it. That's helpful and then just a quick question on the pre-clinical program you announced today. I'm wondering what other work needs to get done before we can get these in the clinic and could that be something we see maybe next year? Thanks.
Thomas Ciulla: Well, I'll start that and George can finish. These are pre-clinical programs. We're very excited about the potential. As you know Integrin inhibitor has some very early validation and some early clinical trials. It's a novel target in retinal diseases. Due to its unique mechanism of action, it actually may have a role in patients who don't respond well to anti-VEGF, it could be adjuncted to anti-VEGF. So we're very excited about that but again these are just pre-clinical programs and we'll have a data-driven approach to progression of that as well as the DNA nanoparticle gene therapy programs and George may be able to give more specifics about plans and intentions.
George Lasezkay: Well, Tom I just echo what you said is that they are pre-clinical. We have to do some more work. There may be some more optimization that's required but we have a kind of strong scientific underpinnings to these programs. So we really think that there is the potential to do something very interesting certainly with the therapeutic biofactory approach and Integrin has a reasonable validation as a target. So we think that those two programs in particular have a lot of promise but we're being very upfront about these are early pre-clinical programs. We're encouraged. We think they're a good direction for us to go but it's going to take some additional pre-clinical work before we know whether we can really take these things on and start any kind of clinical trials. So I think that's a little premature to discuss that seriously right now.
Jonathan Wolleben: Got it. All right. Thanks again for taking the question.
Operator: Next question is from the line of Zegbeh Jallah from Roth Capital Partners. Your line is open.
Zegbeh Jallah: Good afternoon. Thanks for taking my question and congrats on the IND. Just a couple of questions here for me are starting with CLS-AX just kind of wanted to know what additional steps are required before you can begin treating patients at the end of the year and how many sites do you plan to activate things like that. And then a follow-up question here is, who will manufacture CLS-AX? Are you going to be using the new CMO that's doing your XIPERE manufacturing or who's going to be handling that and then another follow-up question with regards to the study design just wanted to know why a [indiscernible] is being used as the baseline treatment which I think is interesting but any clarifications there and finally here, is there any limitations on what you can use or what indications you can explore for your gene therapy nanoparticle delivery since you do have some existing agreements. I was just wondering if that provided any limitations and then maybe if you can even provide any ideas to what indications might be pursued initially?
George Lasezkay: Well, Zegbeh thanks for a four-parter. I hope Tom was writing as fast as I was writing there. Let me take several parts of that question then I'll turn it over to Tom. First of all in terms of the manufacturer for CLS-AX that is a different, entirely different CMO. It is not the previous CMO for XIPERE and it's not the new CMO. That's a completely separate CMO that we've been working with for some time. I'm very happy with how things are working there. So that will be a different contract manufacturing organization that will manufacture CLS-AX. I've already forgotten one part of your question that I was going to answer, about the indications. We're going to proceed and we are not very restricted in terms of how we can proceed using our nonviral vector therapy, in terms of the indications we could explore and decide to go after if our preclinical data supports it. We're fairly open to where we can go. We're not as restricted as you might think in terms of potential indications as long as we're in the nonviral vector area. So I'll let Tom, if he was writing down answer the other two parts of your question. And if you require more amplification on that I'm glad to give it to you Zegbeh.
Zegbeh Jallah: No, that was helpful. Thank you. Perfect.
Thomas Ciulla: Yes. Thanks for the questions Zegbeh. So I'll take, I think the first question and essentially you were asking about steps required to get to the phase I/IIa trial by the end of the year. So we've gone through a number of steps. We did all the pre-clinical work that's been completed. We filed the IND. We've announced acceptance. We finalized the protocol already. That protocol has been reviewed by our [SAB] which I mentioned on my remarks earlier a great, a cohort of world renowned retina specialists who found the trial design to be very appropriate. In terms of going forward, we've identified sites. They've filled out site feasibility questionnaires. What we looked for in sites or sites that are experienced with phase 1 trials, experience with Wet AMD trials on sites that are experienced with suprachoroidal injection. Many of these sites were previous sites in our prior trials with XIPERE . So they're familiar with supercritical suprachoroidal injection very familiar with it and then we have to have [IRB] approval, a site initiation study and we feel confident that we can initiate this trial before the end of the year.
Zegbeh Jallah: Awesome and then Tom just the follow-up here was with regards to using [indiscernible] as the baseline therapeutic for the trial?
Thomas Ciulla: Yes. So the trial design is very similar to other sponsors that have done Wet AMD trials with new assets. So we've spoken about REGENXBIO, their trial design involves initial anti-VEGF injection to assess responsiveness. Our primary goal initially because we feel this may be a very durable treatment, is really to assess durability and maintenance of visual acuity after anti-VEGF therapy initially and that's the reasoning for that. Again it's very similar to what other companies have done and as I mentioned the protocol was reviewed carefully by our [SAB] and they found it to be very acceptable and appropriate.
Zegbeh Jallah: Thank you. Appreciate it.
Operator: Your next question comes from the line of Serge Belanger of Needham. Your line is open.
Unidentified Analyst: Hey thanks for the question. This is [indiscernible] for Serge and congrats on the progress. I just had a couple questions. So the first one is on XIPERE. In terms of the FDA review timeline, so I guess based on the new CMO are you still expecting a six-month review or could it be faster. Just thinking about the potential likelihood for the approval and how this might impact your agreement with Bausch and then in terms of the milestone payments I think you've got about $15 million that are tied to pre-launch and regulatory milestones with Bausch. Is there any, I guess, impact from the fact that you're using a new CMO to your ability to get this milestone payment? Thank you.
George Lasezkay: Thanks Serge. I'll take the first part of that and then I'll kind of share the second part with Charlie because it does go to the cash runway. In the first part, we believe that we transfer essentially the same process that was in existence at our previous CMO which is exactly what we intend to do that the conditions that we need to meet and the requests that were made in the CRL that we received last year will remain the same and that the most important one there is the three-month real-time stability on the registration batches. So we have a very strong belief that as long as there's no significant change in the manufacturing process that exists today. once it goes into the new CMO that the CRL will be the requirements of the [CML, CRL] will hold and we'll be able to submit with three month real-time stability data. On the second question about the milestone payments you're right, just from Bausch we expect around approval to get in approximately 15 million bucks from them and some additional monies from other partners. Obviously we do expect that we'll get a six-month review date as well after we resubmit. So that's the issue about getting to the point where we can collect that milestone. I'll let Charlie talk to you about how we how we intend to do that manage our cash runway so we're sure to get there.
Charles Deignan: Yes. Thanks George. Yes so as we said depending on when our approval is and at this point we don't know when that is, we do get north of $15 million in from those approval milestones but until we know when we get this resubmitted that I can't predict when approval is. Hopefully like you said it is faster than six months but we can't commit to that and we're monitoring our expenses and looking at our runway and doing everything we can to extend it.
Unidentified Analyst: Got it.
Charles Deignan: And we will be up, yes thanks.
Operator: All right. There are no further questions. I will turn the call back over to Dr. Lasezkay.
George Lasezkay: Thank you. Once again, I want to thank all of you for joining us on this call this afternoon. I think you can tell we're excited about some of the new developments that have taken place here at Clearside. We certainly appreciate your continued interest in Clearside and we look forward to updating you on our progress. Operator you may now disconnect the call and thanks again.
Operator: Ladies and gentlemen this concludes today's conference. Thank you for your participation. Have a wonderful day. You may all disconnect.